Operator: Good afternoon, ladies and gentlemen, and welcome to AAR’s Fiscal Year 2019 First Quarter Earnings Call. We are joined today by John Holmes, President and CEO; and Mike Milligan, Vice President and CFO. Before we begin, I’d like to remind you that comments made during the call may include forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995, as noted in our news release and the Risk Factors section of the company’s Form 10-K for the fiscal year ended May 31, 2018. In providing forward-looking statements, the company assumes no obligation to provide updates to reflect future circumstances or anticipated or unanticipated events. At this time, I would like to turn the call over to AAR’s President and Chief Executive Officer, John Holmes.
John Holmes: Hey, great. Thank you very much and good afternoon everybody. We appreciate you all joining us to discuss our first quarter 2019 results. Overall, it was a great quarter for AAR. Our first quarter consolidated sales grew 17.2% from $398 million to $466 million, and our adjusted diluted earnings per share from continuing operations increased 64% from $0.33 a share to $0.54 a share in the current quarter. Our results were driven by double-digit growth in our trading, distribution, and programs businesses, as we continue to leverage our integrated aftermarket solutions and global reach to capitalize on multiple growth opportunities. The quarter also included a meaningful contribution from the INL/A Worldwide Aviation Support Services, or WASS contract, with sales of $43.2 million. This program achieved full operational capability at the end of June, and we were formally recognized by the Department of State for the company’s successful transition. In order to fully align our operational capabilities going forward, our government-owned, contractor-operated business, which includes the WASS program will be reported within our Aviation Services segment for all the periods presented. During the quarter, we saw very strong demand in our trading, distribution, and programs businesses, which had healthy double-digit growth in the quarter. As a result, sales in our Aviation Services segment increased 9.2% year-over-year, excluding the impact from the KC-10 and WASS programs. We’re feeling very good about the momentum we have in these businesses, and we expect this growth to continue. Also in the quarter, we experienced softer demand for heavy maintenance services, primarily due to customer schedule changes. These changes have created openings in our hangers and we are working to close on a number of opportunities to fill these openings. Speaking of closing on opportunities, I’m very pleased with our recently announced new business wins, including our expanded business with Air New Zealand to provide power-by-the-hour support for their current fleet and their new fleet of A320 NEOs. This new agreement covers 48 aircraft, including the 30 current-generation 320s, as well as the 18 - as well as 18 A320 NEOs. We went live with the 30 current generation aircraft on September 1, and will phase in the NEOs over a four-year period beginning this fall. We also recently announced another multi-year agreement with Air Malta, covering their NEO fleet as well. These awards demonstrate our ability to successfully deliver PBH solutions to our customers, as well as our capabilities to support the latest generation of aircraft. With that, I’d like to turn it over to Mike to discuss the financials in a bit more detail.
Michael Milligan: Thanks, John. I’ll take a few minutes to discuss the company’s Q1 fiscal year 2019 financial performance in more detail. Our sales in the quarter of $466.3 million were up 17.2%, or $68.4 million year-over-year. We experienced growth in both segments. Our Aviation Services segment experienced increased sales across parts trading, distribution, and programs, including the INL/A WASS contract, while our mobility business drove the sales increase in the Expeditionary Services segment. Our consolidated gross profit increased $9.6 million, or 15.6% to $71.2 million. Gross profit in Aviation Services increased $9.3 million to $67.1 million. Overall, our gross profit margin was 15.3%, compared to 15.5% in the prior year, primarily due to lower volumes in our airframe maintenance facilities. SG&A expenses were 10.5% of sales during the quarter, compared to 11.2% last year, reflecting improved leverage of our cost structure to support our double-digit sales growth. As we shared at our Investor Day in January, we continue to make improvements throughout - we will continue to make improvements throughout the year to achieve our targeted run rate of SG&A at 10% of sales. To that end, we are pleased with the progress to date. Our adjusted SG&A expenses, excluding stock-based compensation, severance, and restructuring charges were 9.6% of sales for the current quarter, compared to 10.4% in the prior year quarter. Income from continuing operations was $18.9 million, or $0.54 per diluted share. Our income tax expense was favorably impacted by the lower tax rates from last year’s tax reform and a tax benefit related to stock compensation. Overall, adjusted income from continuing operations was $18.8 million or $0.54 per diluted share compared to $11.4 million or $0.33 per diluted share in the prior year quarter. Capital expenditures for the quarter were $4.2 million, and depreciation and amortization was $10.1 million. Interest expense for the quarter was $2.1 million compared to $1.7 million in the prior year, due to higher average borrowings during the quarter and an increase in the underlying interest rate. While we experienced higher average borrowings during the quarter, we maintained low leverage and significant liquidity. Our debt levels remain low and our coverage ratios and availability are high. Overall, we are confident with our disciplined approach to making investments in our business units, including the strong parts supply activities. As previously discussed, we expect to use cash in the first half of the year, while turning cash flow positive thereafter and becoming overall cash positive for the year. With that, I’ll turn the call back over to John.
John Holmes: Thanks, Mike. Overall, we’ve had a very strong start to the year, and we are pleased with our double-digit sales growth as well as our significant earnings growth. We’re also pleased with the reduction in SG&A as a percentage of sales and improved operating margins. We’re encouraged by the robust pipeline of opportunities that we see in both our commercial and government markets, and our balance sheet remains strong, giving us the flexibility to make disciplined investments and support our continued growth. We are reiterating our guidance for FY 2019, which includes sales in the range of $2.1 billion to $2.2 billion, diluted earnings per share from continuing operations in the range of $2.50 a share to $2.80 a share, and EBITDA in the range of $180 million to $190 million. I’m very proud of our team, and I’m confident that we will continue to deliver strong performance. Thank you for your time and interest in AAR. And at this point, I’ll turn it back over to the operator for questions.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Robert Spingarn with Credit Suisse. Your line is open.
Robert Spingarn: Good afternoon.
John Holmes: Hey, Rob, how are you?
Robert Spingarn: Hey, John. A question for you, or maybe a couple of questions on Aviation Services. Just at the top line level, why the realignment - you may have touched on this earlier, but and what is left now in Expeditionary? Just some of the strategy behind that, and then I have a couple more questions around that.
John Holmes: Yes, sure. On the realignment, given the supply of labor and systems, that’s inherent in the GOCO business, and the fact that the core government programs business is very strong in that area. We felt from a management and synergy perspective that it made a lot more sense to have those two businesses run alongside each other. And so far, that’s off to a great start. As I mentioned, the State Department has been extremely pleased with our transition on INL, and that’s - that team in Aviation Services that’s running this is doing a great job.
Robert Spingarn: So just to be clear about it, what does that leave in Expeditionary? And how do we feel - or how do we think about that business trending the rest of this year and into next? Is that a lower grower than AS?
John Holmes: Yes, right, fair comment or fair question. So, inside that business, the larger portion of it is our mobility business, the shelters, containers, and the pallet business. That business right now -- it’s at a moment in time, where it’s up from last year, but overall at a low point. The backdrop for that business, we actually feel quite good about. We’ve announced a few awards in the last couple of quarters, and they’ve got a number of opportunities they’re bidding in RFPs they’ve responded to. So, we’re feeling pretty good about the - that business given the macro environment doing well. And that - the other business in that area is the composites business, but mobility is the bulk of the revenue in Expeditionary Services and we’re feeling pretty good about the growth prospects there.
Robert Spingarn: And then just going back over to AS, it seems that now that you’re at run rate in the INL contract there.
John Holmes: Right.
Robert Spingarn: Should we think about the growth, I want to think about this core growth of 9%, but I’m guessing, that INL doesn’t have growth at that level now that it’s mature, but maybe I’m wrong. So how do we think about AS growth and then the dilution to margins, both from that and from this lower MRO activity?
John Holmes: Well, we saw - the operating margin level, we were up half a point year-over-year. So, if you think about the mix, we’ve seen a great deal of strength in our parts supply businesses, in the distribution and the trading business, and the commercial programs business, as well as the government programs business outside of INL continue to grow. So, we’re very encouraged by the growth rates in all of those areas. And as you know, those businesses are high margin than MRO.
Robert Spingarn: Is 10% a good run rate for those 9%, 10%?
John Holmes: Yes, I would - as you know, we’ve got a long-term growth projection or goal of 5% to 10%. And so, we feel good about the - about that range.
Robert Spingarn: Okay, all right. So you’re at the upper end lately?
John Holmes: Yes.
Robert Spingarn: Okay. And then just on the margins, what was going on in MRO that the volumes were a little lighter and therefore your margins took a little bit of pressure there?
John Holmes: Sorry, Rob, say that again?
Robert Spingarn: The margins, you talked about the gross margins, I assume some of that was INL, but was there also - did I see something about lower MRO volumes contributing?
John Holmes: There was. Yes, we did have lower MRO volumes in the quarter, and you do have a fixed cost base in that business, the volumes - the fixed cost didn’t come out, obviously. So you saw a lower gross margin - slightly lower gross profit margin in that regard. We do expect a much stronger quarter in MRO in Q2, so we expect that to improve.
Robert Spingarn: And then just as a - just to closer look, was that because it’s the summer season and people were not able to put the aircraft into the shop, so to speak, they were just under too much demand?
John Holmes: Yes, phenomenally, yes.
Robert Spingarn: Okay, excellent. Thank you very much.
John Holmes: Yes. And just one more - just one more point.
Robert Spingarn: Yes.
John Holmes: I don’t want to lose sight of the strength in the parts businesses and the strength in the programs businesses. I mean, those businesses are doing exceptionally well right now and we can see - continue to see opportunity and invest in those.
Robert Spingarn: Okay.
John Holmes: And those are, as I just mentioned, those are stronger margin businesses in MRO.
Robert Spingarn: All right. Okay, I’ll step out.
John Holmes: Thanks, Rob.
Robert Spingarn: Sure.
Operator: Thank you. Our next question comes from the line of Larry Solow of CJS Securities. Your question, please?
Lawrence Solow: Great, thanks. Good afternoon. Just to follow up on the margin side in the Aviation Services. If the MRO margin is somewhat lower, was it more of an impact from the INL contract, that’s cost plus, that sort of hurts the year-over-year drop as opposed to the drop in MRO volume?
John Holmes: Yes, it - you saw a little bit of impact from INL as well as MRO. But again, the SG&A as a percentage of sales came down, so our operating margin, while we saw 0.2% decrease in gross profit margin, we saw 0.5% point increase in op margin in the same period.
Lawrence Solow: And the - some - I thought some of the issues at MRO, not only that the busy flying season, which is a seasonal thing normally every year. There was some delayed deliveries in new aircraft, which is well publicized that, I guess, kept some of the older ones out in the air longer or more pressure on them to stay up in the air. Is that something that you feel has been alleviated, or could that bleed into the more seasonally strong quarter for you guys this quarter?
John Holmes: It could continue, as I mentioned, we’ve got. So first of all, you’re right and that’s - seasonally, that’s the reason. And historically, we’ve had opportunities with lessors to fill certain slots. Those lessors have had those aircrafts operating those leases have been extended. So we didn’t see those one-off drop in opportunities this season. We do, as I mentioned, we do have some open slots if we go into the next quarter or two, but we’ve got a number of opportunities that we’re focused on right now to fill up those slots.
Lawrence Solow: And the more…
John Holmes: And seasonal data business gets stronger as we go through the rest of the year.
Lawrence Solow: So the margin improvement, you’re sort of building into your guidance, which is unchanged. Is that more of a seasonally? Is it improvement in MRO…
John Holmes: Yes…
Lawrence Solow: Is it a mix of everything?
John Holmes: Correct. Yes, it’s a mixture of everything. Seasonally, you’ve get to pick up there. But again, the parts businesses and the programs businesses are performing very well, and those are higher margin businesses in MRO. So even if you have a little bit of a softness in MRO, we still see improved margins as a result of the strength of those businesses.
Lawrence Solow: And then the INL, you mentioned the State Department is pleased. Is it - is the - how about you guys, is the profit sort of meeting your - I know it’s early - it’s early in the ramp. Is it meeting your expectations, I guess?
John Holmes: Yes, yes, we’re right where we expect it to be.
Lawrence Solow: Okay. And then on mobility, I guess that’s like you said the lion’s share of Expeditionary?
John Holmes: Yes.
Lawrence Solow: I thought that growth will be a little bit better this quarter I know, you have secured, I think, a little small piece of IDIQ, I think the last summer, if I’m not mistaken. Can you just maybe just discuss? I know the environment obviously seems like it’s certainly better for the spending. But do you actually have contracts in hand that you think will help you get that?
John Holmes: We do have contracts in hand and that was just filling individual orders at the timing of filling those individual orders. But overall, we feel good about the growth of that business for the balance of the year.
Lawrence Solow: Okay. And then just a couple of miscellaneous questions. Do you guys in your release that you show the adjusted SG&A you’re taking out stock comp. But you’re not - I assume you’re not taking out stock comp in your EPS calculation, is that correct?
John Holmes: No, we are not.
Michael Milligan: No, we’re not.
Lawrence Solow: Okay, good. I just wanted to confirm that one. And stock comp looks like it was a little bit higher year-over-year or almost double or any reason for that or?
Michael Milligan: Just ongoing incentive programs of - like the stock performed well and the company has performed well. And as a result, the expense has been a little bit higher.
Lawrence Solow: Okay. Last question, your discontinued ops, obviously, it lost somewhat more than it did last year. And I know you’ve - because Afghanistan, obviously…
John Holmes: Right.
Lawrence Solow: You lost a lot of that [branding] [ph] stuff.
John Holmes: Yes.
Lawrence Solow: Is this going to continue to be a drag? Is there anyway you can, I know, you can’t just walk away from the business. Are there potential buyers, or is it something that might, or at least clipped some of your time and some of your cash flow?
John Holmes: All of the above. We’ve got a very active process going on right now with the number of parties to exit that business, and it’s a big focus of ours to complete that soon.
Lawrence Solow: Okay. So you’re confident not to put a time table on it, but sometime maybe only during this fiscal year, you’ll be able to sell that business?
John Holmes: Yes, that’s our plan.
Lawrence Solow: Okay, great. Thank you.
Operator: Thank you. Our next question comes from Ken Herbert of Canaccord. Your line is open.
Ken Herbert: Hi, good afternoon, John and Mike.
John Holmes: Hey, Ken.
Ken Herbert:
.: I’m just trying to get a sense as to sort of the opportunity set and how we should think about that? And maybe you sound very optimistic, but any data points you can provide to support the growth, or at least to the backlog or the pipeline in that business?
John Holmes: Sure. I’ll give you an unsatisfying answer. We feel good about the pipeline. We - we’ve been growing at a faster rate than the overall market for that and we’ve been taking our market share. We’ve got a very healthy base of 1,300 supportive aircraft at this point, and our marginal cost to support a new aircraft is lower than it was a year ago. So we’re becoming more competitive in that market and we feel good about the pipeline it’s - it remains very strong.
Ken Herbert: Okay, that’s helpful. And do you get a sense that you’re taking share, or is this really just that the opportunity is growing as airlines like Air New Zealand or fly Dubai or other airlines just increased their deliveries?
John Holmes: It’s both. It’s taking share as well as moving with the market.
Ken Herbert: Okay. Okay, that’s helpful. And it looks like jumping over to the MRO business, that was maybe five to six points of growth as a headwind in terms of the top line in the quarter. Is that the right way to think about it?
John Holmes: Yes, we wouldn’t want to - we don’t comment on the individual growth rates.
Ken Herbert: Okay. I’m just trying to get a sort of the financial impact of the sort of the open slots in the MRO side?
John Holmes: Yes, I mean, you’re probably not too far off.
Ken Herbert: Okay. Okay, that’s helpful. And as you look to fill those slots now and as and obviously, we move out of the summer flying season. It sounds like that that spills maybe into the second, maybe even into the third quarter. Can you talk just roughly about pricing on the MRO side? And with the strong demand, obviously, from the airlines flying where, are you seeing any relief on pricing or labor rates you’re getting in the MRO business? Could that be a - maybe a bit of a tailwind to margins moving through the fiscal year?
John Holmes: Well, the labor market remains tight. Going into this busy season, we do feel much better prepared to deal with the tight labor market than we did last year at this time. So we’re encouraged by that. We are a leader in this market and our performance is what we’re focused on right now. And through strong performance, we expect to command and we’ve seen this over and over again with our customers. We expect to command a better pricing in the market. We - yes.
Ken Herbert: Okay. All right, that - that’s helpful. And then just finally, obviously, the benefits of the tax reform in the quarter. Can you remind us, again, what we should assume for a full-year tax rate?
Michael Milligan: Going forward, Ken, we’ll - we expect our tax rate to be 23% to 24% on a quarterly basis.
Ken Herbert: Okay, perfect. All right. Well, thank you very much. I’ll pass the mike there.
John Holmes: Thanks, Ken.
Michael Milligan: Thanks, Ken.
Operator: Thank you. Our next question comes from Josh Sullivan of Seaport Global. Your question, please?
Joshua Sullivan: Hi, good afternoon.
John Holmes: Good afternoon.
Joshua Sullivan: Just on the strength in the parts business, how do we think of that ramping relative to the power-by-the-hour contracts you’ve KRW? I’m just curious what is - what portion of that’s global air traffic growth here in the strength there versus the contracts that you won on some of these contracts, some of these airlines?
John Holmes: Yes, they’re both growing. They’re both growing nicely. And again, we are growing as a result of taking market share, as well as benefiting from the overall spend.
Joshua Sullivan: Okay. And then, I know you talked about the pipeline there, but can you talk about any progress with the Indian joint venture at this point? What are some the gating factors there just specifically?
John Holmes: Yes. So thanks for asking about that. That’s going well. We continue to be under construction in the facility. It’s been slightly delayed due to weather conditions over there. But we are on track for a first calendar quarter 2019 opening, and we’re working on securing our first baseload of customers.
Joshua Sullivan: Okay. And then just lastly, the seasonal leasing changeover business coming in soft here. Does that business shift to the right at all? I assume those aircraft need to be changed over at some point. When we do see - do we see a catch up at some point?
John Holmes: So it depends. It depends on if we have the maintenance slots available when the aircraft come out, and it also depends on whether or not those leases get extended with the less fees. In other words, when we talk about doing work with the lessors, that means that the aircraft is transitioning from one operator to another, and that lessor puts that aircraft us for interim check. If the lease is extended with the existing operator and that existing operator is not a company of AAR’s, then that work is going to stay with wherever that operator has got it. So it just depends on ultimately, what happens with the movement of those aircraft.
Joshua Sullivan: Okay, got it. Thank you.
Operator: Thank you. Our next question comes from Michael Ciarmoli of SunTrust. Your question, please?
Michael Ciarmoli: Hey, good evening, guys. Thanks for taking the questions.
John Holmes: Hi, Mike.
Michael Ciarmoli: Just one on the tax clarification. So I think, you said 23% to 24% for the full-year. So we should expect - is that going to be - should we expect fairly linear going up forward kind of a 26.5% tax rate, or do we anticipate anymore kind of a one-time benefits or items?
Michael Milligan: Yes. At this point, Mike, we’re about 23% to 24% in the quarters going forward. We don’t - we will probably be a little favorable to that rate over the course of the full-year.
Michael Ciarmoli: Okay, got it. And then, John, just on the margins. I know, the gross margins down, you obviously talked about it here with the - some of the open slots in MRO. But I mean, you get the seasonal pick up. Should we expect those gross margins to balance next quarter with that volume, or is it predicated on backfilling some of those slots, or is the seasonal strength just going to pull up the overall gross margins?
John Holmes: Yes, it’s what you said. The seasonal strength that pull up the gross margins and the continued growth in the parts and programs businesses, which are higher margins business. So we do expect to see improvement there.
Michael Ciarmoli: Got it, got it. And the labor, you guys think, going back to earlier in the year, you feel comfortable that, even with the seasonal pick up, you kind of won’t get - have any other shortages that you’ve experienced earlier in the year?
John Holmes: Yes. As I mentioned, it’s still a tight market. But a number of the things that we - the number of the initiatives that we put in place in order to deal with that are working and we feel much better going into the busier season.
Michael Ciarmoli: Got it. And then just last one, maybe just some news I saw today. Just Southwest, I guess, you do work for them. I think their co-funding and maintenance facility in Maryland, does that have any implications on the level of activity you currently do for Southwest?
John Holmes: No, we’re not.
Michael Ciarmoli: Okay, okay. So that’s just more capacity for them, it’s not going to know…
John Holmes: Yes…
Michael Ciarmoli: …it’s not that they’re going to be bringing more in-house or anything like that?
John Holmes: No, no. And if I’m thinking of the same release that that’s not necessarily heavy maintenance that would be in conflict with the work we do for them.
Michael Ciarmoli: Got it. Perfect. All right. Thanks, guys.
John Holmes: Okay, thank you.
Operator: Thank you. Our next question comes from Ben Klieve of NOBLE Capital Market. Your question, please?
Ben Klieve: All right. Thank you. A few from here. First on the INL front here. Within our quarter, can you kind of update us on what you think seasonality from that program may look like here?
Michael Milligan: We see it as - hey, Ben. We see it as fairly steady. At the Investor Day, we articulated, we see it as about $200 million a year contract, and we do see that evenly spread throughout the year now that we are at full run rate.
Ben Klieve: Okay, perfect. Thank you. And on the international front, I mean, for several quarters in a row here, you just - you seem to have one announcement after another here on the international front, just a lot of momentum here for you. I’m curious if - as you look out over, say, the next I don’t know 12 to 24 months, how do you look at international growth relative - as compared to domestic growth? Is it roughly the same? Is it a multiple factor above domestic growth? How do you see international expansion here?
John Holmes: Yes. This - in this quarter, we saw a similar growth rate, both the domestic and international growth, but international remains a big focus of ours. We’ve got a great sales team worldwide. As you can see there, they’re having a lot of success capturing business. We’re excited about this India joint venture and getting a facility up and running over there to take the AAR brand farther east. So international expansion is a real focus of ours.
Ben Klieve: Okay. And then on the WASS IDIQ, any update on when you expect task orders to roll off that vehicle?
John Holmes: Yes. So the - it’s under protest, no surprise there. And my - I believe we’ve got about another month to go under the GAO protest timeline. So we would hope that by the end of the calendar year, we’d see the first task orders coming out. But that is a fluid situation given the number of bidders on the IDIQ, so that’s just a guess.
Ben Klieve: Okay. Yes, fair enough. It’s always a guess.
John Holmes: Yes.
Ben Klieve: And one last for me. So I understand that we always want more data than you’re able to provide. Given that I’m curious about kind of your future reporting by segment. I mean, I wouldn’t expect that Expeditionary here to standalone in a separately reported segment for long. Do you think - in the future, you’re going to be breaking out what today is the Aviation Services segment more granularly, or do you think you’re going to end up rolling your two current segments into one going forward? How are you thinking about future reporting from that perspective?
John Holmes: Certainly, we understand the interest in getting more granular detail. We are in an ongoing dialogue with the auditors and others about the segment reporting and that’s something we’ll continue to assess.
Ben Klieve: All right. Fair enough. Thanks for taking my questions. I’ll get back in queue.
John Holmes: All right, Ben. Thank you.
Operator: Thank you. [Operator Instructions] We have a follow-up question from Robert Spingarn with Credit Suisse. Your line is open.
Robert Spingarn: Yes, I just had a couple of more things. On the SG&A, I think, you got down to 10.5% and you’ve targeted 10%. So how do we…
John Holmes: That’s right.
Robert Spingarn: …how should we think about that trending from here? And are you ahead of plan? I mean, could you get below 10% or are you just tracking as you want to when do we get there?
John Holmes: We’re in line with expectations at this point. Consistent with what we articulated at the Investor Day, we’ve got a target to get back to that 10%. We’ve got target to get back to that 10% or slightly below run rate. And as the business continues to grow throughout the year, we expect continued improvement there.
Robert Spingarn: Okay. And so, obviously, that strength across some of those businesses in AS is key to that happening. I wanted to ask you specifically about parts trading. You’ve talked about how strong that and some of the related businesses are? Is that a disaggregated market? Are there opportunities there to roll up some of the others that are in the parts trading market make that a bigger business?
John Holmes: We’re expanding through investments in material and people. We’ve been very successful over the last several years. A number of our competitors have gone away and we’ve been able to take their share. We’ve got a wonderful team. They’re extremely in touch with those markets. They’re able to step out opportunities better than anybody else out there. And our goal right now is to continue to back the team that we’ve got.
Robert Spingarn: Is there any secular risk that as we deliver more new aircraft and fuel prices stay a little bit elevated and we start to see a return or acceleration, if you will, in retirements, that there is some slowdown on the trading side?
John Holmes: Certainly, the fuel prices and the commentary coming out of our customers is something we’re keeping a close eye on. But right now given our position in the market, the demand that we see for material over the next several years, as well as our ability to access the material, which is the core competency of ours, we’re quite confident.
Robert Spingarn: Okay. And then just lastly, sort of going back to where I was before, I had asked about parts trading. But just M&A, in general, just given where your balance sheet is and the ability that you might have to support some M&A. Are there other areas that you’d like to target?
John Holmes: Rob, we’re always looking. As we’ve said the last few quarters, our cash is being invested in organic growth, which obviously we’re seeing. And - but we’re always - we’ve always got our eye open for the right opportunity.
Robert Spingarn: Okay. How’s the pipeline look for that? The targets?
John Holmes: There are things out there. As you know, valuations are very healthy, and we always had a very disciplined approach to M&A, there’s nothing that’s going to change our approach.
Robert Spingarn: Okay, great. Thank you.
Operator: Thank you. Our next question is a follow-up from Ken Herbert of Canaccord. Your line is open.
Ken Herbert: Hi, John. I just wanted to follow-up just once more on your distribution business. I know you’ve been very successful in adding new OEMs as part of your platform. How do you see that runway through into calendar 2019? Are you getting a sense that a number of OEMs are looking for sort of alternative distribution partners or utilizing distribution? I’m just trying to get a sense as to the growth outlook there from bringing on new OEM partners to your platform relative to just sort of the steady organic growth within the distribution business?
John Holmes: Yes. Thanks, Ken, it’s a good question. We see both. We see growth in current distribution - with the current distribution partners and then we see a very healthy pipeline of opportunities for new distribution partners. And the success of that business is feeding on itself in a lot of ways. We’re really becoming known for this service both the commercial customers, because we have so many different channels to market such as with our MRO business, or our parts business, or our programs business. We have multiple touch points with commercial customers and the OEMs that we partner with Viasat. And then we’ve also had a great deal of success selling into the DLA, which has turned into a real nice franchise. So the pipeline is strong and it’s a business that we continue to have high expectations of growth.
Ken Herbert: Okay, that’s great. And just finally, on the MRO business, again, great work on India. And I know you’ve expanded into Canada recently, which historically, when I think of the MRO business for you, it was obviously very U.S.-centric and you seem to have a lot of reluctance to push investments outside the United States. So you’re pushing that envelope. But I guess, what’s next? I mean, we’re seeing a clear growth in fleets in other parts of the world. I think, India, maybe gives you a great foothold. But how should we think about international expansion of the MRO business?
John Holmes: Yes. Right now, we’re focused on getting India up and running, getting those initial customers secured and getting some success there. And because of the position that, that puts us in, we feel that, that would be a great launch point in other ventures. But right now, we’re focused on getting - being successful with the deal we’ve got in front of us.
Ken Herbert: Great. Thanks, John. Thanks, Mike.
John Holmes: All right. Thanks, Ken.
Michael Milligan: Thanks, Ken.
Operator: Thank you. At this time, I’d like to turn the call back over to John Holmes for any closing remarks. Sir?
John Holmes: Thank you very much. Really, I appreciate all the questions and the interest, and appreciate the time and we’ll get back to work.
Operator: Thank you, sir.
John Holmes: All right.
Operator: Ladies and gentlemen, this concludes today’s conference. Thank you for your participation and have a wonderful day. You may disconnect at this time.